Operator: Greetings, and welcome to Collegium Pharmaceutical Third Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host, Julie Fallon. Thank you. You may begin.
Julie Fallon: Welcome to Collegium Pharmaceuticals third quarter 2021 earnings conference call. This is Julie Fallon on behalf of Collegium. I'm joined today by Joe Ciaffoni, our Chief Executive Officer; Colleen Tupper, our Chief Financial Officer; and Scott Dreyer, our Chief Commercial Officer. Before we begin today's call, we want to remind participants that none of the information presented today is intended to be promotional and that any forward-looking statements made today are made pursuant to the Safe Harbor Provision of the Private Securities Litigation Reform Act of 1995. You are cautioned that such forward-looking statements involve risks and uncertainties, including and without limitation, the risk that we may not be able to successfully commercialize Xtampza ER and the Nucynta franchise and that we may incur significant expense and may not prevail in current or future opioid industry litigation and investigations, patent infringement litigation or other litigation pertaining to our products. These risks and other risks of the company are detailed in the company's periodic reports filed with the Securities and Exchange Commission. Our future results may differ materially from our current expectations discussed today. Our earnings press release and this call will include discussion of certain non-GAAP information. You can find our earnings press release, including relevant non-GAAP reconciliations on our corporate website at collegiumpharma.com. I will now turn the call over to Collegium's CEO, Joe Ciaffoni.
Joe Ciaffoni: Thank you, Julie. Good afternoon, and thank you, everyone, for joining the call. Today, we will discuss our performance in Q3 and through the first nine months of the year, in addition to our near-term outlook. At Collegium, we remain focused on our mission of being the leader in responsible pain management, and we are committed to driving growth in our business and creating value for shareholders. We will do this by maximizing the potential of our differentiated portfolio of pain products, achieving our operational and financial goals, deploying our balance sheet and strategically investing in our long-term growth. In the face of challenging market dynamics throughout 2021, inclusive of the third quarter, we are making progress against our full year operational objectives, and are on track to achieve record total revenue, net income and adjusted EBITDA. As we have consistently emphasized throughout the year, COVID-19 dynamics have adversely impacted the mix of Xtampza ER prescriptions, pressuring gross to net beyond plan and negatively impacting Xtampza ER revenue. This dynamic continued in the third quarter. Conversely, the Nucynta franchise has benefited from continuity of care and gross to net favorability. We expect to deliver total revenues of $330 million to $340 million in 2021, achieved differently than initially anticipated. Total revenue, operating expenses and adjusted EBITDA continue to track to the overall expectations that we communicated in January. Colleen will share our updated 2021 guidance. We believe that we are embarking on a phase of growth and value creation for the organization, and I remain confident in the underlying strength of our differentiated pain portfolio and the opportunities we have ahead to meet our operational and financial objectives, and to deliver value for our shareholders in the near and long-term. Notable accomplishments in the first nine months of 2021 include, we posted record total revenue, net income and adjusted EBITDA. Xtampza ER market share increased to 32.5%. We grew Nucynta franchise net revenue to over $150 million, a level not seen in the first nine months of the year since 2018. We delivered on our commitment to leverage, not grow our cost structure. We further strengthened our financial position and efficiently deployed our balance sheet to pay down debt and return capital to shareholders through share repurchases. We demonstrated our commitment to leading with science through publications and the sponsorship of four poster presentations at Pain Week, all of which highlight important real-world data related to the use, misuse, abuse and diversion of Xtampza ER and the Nucynta franchise. And we supported our communities through contributions to science from scientists and life science cares, two organizations with missions that we are passionate about, STEM education and eliminating the impacts of poverty. For the remainder of 2021, we are focused on maximizing the value of our pain portfolio, achieving our operational and financial goals, deploying our balance sheet efficiently and effectively and actively pursuing business development opportunities that will help build and diversify our business longer-term. Moving forward, we expect to grow Xtampza ER revenue by growing total prescriptions, improving mix and optimizing existing payer contracts. We will manage Xtampza ER gross to net to less than 65% beginning in 2023. Scott will provide more detail on this topic during his update. The Nucynta franchise is well-positioned to deliver relatively stable revenue on a going-forward basis. As we have demonstrated, we will offset pressure on prescriptions with net price favorability. We are absolutely committed to leveraging, not growing our cost structure, specifically operating expenses, excluding stock-based compensation and generating strong net operating cash flows. As it pertains to deploying our balance sheet, we are focused on creating value for our shareholders, both in the near and long-term. Executing on business development transactions that will build and diversify the business is our number one priority. We are also returning capital to shareholders through share repurchases. Our share repurchase program announced on August 16, enables us to purchase up to $100 million of our shares and we have been active buyers of our stock since its inception. We believe in the long-term success of our company and that our stock at current valuation represents a very attractive investment with a favorable return profile for investors. As such, we announced today that as part of our repurchase program, our Board has authorized us to enter into a $25 million accelerated share repurchase program, reinforcing our commitment to deliver value to our shareholders for effective balance sheet deployment. Our business development strategy is to diversify the organization in one or more of the following ways: diversifying within pain through commercial stage high-synergy acquisitions, diversifying beyond pain through commercial stage lower synergy acquisitions and diversifying into non-opioid pain solutions through the acquisition of late-stage development assets defined as Phase II or later that have the potential to generate revenue in the 2025 to 2027 timeframe. We are highly active on multiple business development fronts. The strength and durability of our business allows us to be disciplined in our approach. That being said, business development is our top priority. In summary, in the face of challenging market dynamics, our business is strong and I am confident in our ability to drive growth in our existing pain portfolio, deliver on our operational and financial objectives, effectively deploy our balance sheet and strategically invest in our long-term growth. I will now hand the call over to Colleen, for a discussion of the financials.
Colleen Tupper: Thanks, Joe. Good afternoon, everyone. Q3 was a solid quarter, and we remain in a strong financial position. We leveraged our operating cost structure, paid down debt and returned capital to shareholders through the share repurchase program authorized by the Board in August. Since the program's inception, we have been active buyers of the company's stock which reflects our belief in the long-term strength of the company and the attractive valuations we are currently seeing in the market. Before I run through the financials, I do want to remind you that I will be referencing GAAP and non-GAAP financial measures during my remarks, and would refer you to our press release issued earlier today for a full reconciliation of GAAP to non-GAAP results. Total product revenue was $78.8 million for the third quarter, flat relative to the third quarter of 2020. Xtampza ER net revenue was $30 million for the third quarter, a decrease of 7% from the third quarter of 2020. Gross to net discount was 73% in the quarter as the mix of business skewed further than expected to exclusive accounts and Medicare in particular. This dynamic highlights the importance of our commitment to managing gross to net going forward and is the basis for our positive outlook for the business. We are both laser-focused on and have significant opportunity to optimize the rebating structure for Xtampza in 2022 with the impact of that opportunity manifesting in 2023 and beyond. We will manage gross to net discount to less than 65% beginning in 2023. The Nucynta franchise continues to benefit from the execution of our payer strategy and the continuity of care associated with COVID dynamics. The gross to net discount was 46% in the quarter versus 53% at the end of last fiscal year, once again better than our expectations. Nucynta franchise net revenue was $48.8 million in the third quarter, an increase of 4% from the third quarter of 2020. Operating expenses, excluding stock-based compensation, were $26 million in the third quarter compared to $23.4 million in the same period of 2020. Operating expenses, excluding stock-based compensation, were $80.9 million for the nine months ended September 30, 2021, a slight increase over $78.6 million in the 2020 period due to the resumption of expenses coming out of the COVID lockdown period of last year. Importantly, we saw revenue growth exceeding the increase in operating expenses. We remain committed to leveraging, not growing our cost structure as we have throughout 2021. Year-to-date, non-GAAP adjusted EBITDA was $122.8 million, and our cash balance was $193.2 million. During the third quarter, we executed on our commitment to efficient balance sheet deployment through the repurchase of over 850,000 shares under the share repurchase program we announced in August, returning approximately $17.5 million of capital to shareholders in the roughly seven weeks of the quarter during which the program was active. We have remained buyers during Q4, purchasing more than 240,000 shares for approximately $4.9 million quarter-to-date. As we announced today, our Board has authorized a $25 million accelerated share repurchase under the previously announced $100 million program, which will enable us to increase our level activity. We continue to see a disconnect between the current market value of our shares on the one hand and the intrinsic enterprise value of Collegium, supported by our strong financial return profile on the other hand. We believe repurchasing our shares at current valuations provides a highly attractive return on invested capital for our shareholders. Now on to 2021 financial guidance, market dynamics in the third quarter driven primarily by COVID-19, had a bigger negative impact on the market in Xtampza ER mix than we anticipated. As a result, we are updating our previous guidance communicated on August 5. For 2021, we now expect total revenue in the range of $330 million to $340 million. This is comprised of Xtampza ER revenues between $130 million to $135 million, and Nucynta franchise revenues between $200 million and $205 million. Total operating expenses, which includes stock-based compensation, in the range of $125 million to $130 million. And adjusted EBITDA, which excludes stock-based compensation in the range of $165 million to $170 million. Although, product mix has shifted, expectations for overall revenues and profitability remain consistent from the start of the year. Let me close with some key points. While the environment proved more challenging than anticipated this quarter, our business and financial position remains strong overall in Q3. For the remainder of the year, we are focused on commercial execution, leveraging our cost structure, generating net operating cash flows and strategically pursuing business development opportunities that will help build and diversify our business longer-term. And while we execute on those operational and strategic objectives, we will continue to deploy our balance sheet in an efficient and disciplined manner through the share repurchase activities. With that, I will now turn it over to Scott.
Scott Dreyer: Thanks, Colleen. In Q3, we continued to make progress on our goals for the portfolio, growing market share with Xtampza ER and maintaining market share with Nucynta. We faced more challenging market dynamics than anticipated, which impacted the performance of the portfolio in the quarter. In-office patient visits in pain specialty were down approximately 30% from pre-COVID levels, leading to a negative impact on the new-to-brand market, which remains down over 25% compared to pre-pandemic levels and was down 10% sequentially versus the second quarter. We believe these dynamics have had an adverse impact on the growth rate of Xtampza ER and conversely have benefited the Nucynta franchise due to continuity of care. While I'm not satisfied with Xtampza ER's growth in the third quarter, I am encouraged that Xtampza ER achieved all-time highs for total prescriptions, total prescribers and market share in the third quarter. There were 19,200 prescribers in the quarter, and Xtampza ER exited Q3 with a 32.5 share of the ER oxycodone market, up one percentage point from the end of the second quarter. The year-to-date market share gain of 7.4 percentage points is the largest we have ever achieved for Xtampza ER in the first nine months of the year since launch. Xtampza ER growth continued to skew toward exclusive accounts and in particular, Medicare Part D. We believe negative market dynamics associated primarily with COVID-19 adversely impacted growth in the non-exclusive books of business. For the remainder of the year, we're focused on strengthening our commercial execution and leveraging new marketing and sales resources to grow Xtampza ER market share within the non-exclusive books of business. Nucynta franchise market share was stable in the third quarter at 6% and the prescriber base was stable at 11,500 prescribers. Our payer strategy has resulted in significant and sustained gross to net improvement, and the Nucynta franchise has benefited from the continuity of care associated with COVID dynamics. We expect these favorable dynamics to continue through the end of the year. Now for a payer update, during 2021, our market access team has effectively executed our payer strategy for Xtampza ER. First, we strengthened Xtampza ER's formulary position by securing new exclusive wins across 3 million lives, bringing total exclusive lives to 96 million. Market share growth within new and incumbent exclusive accounts as well as across the 40 million lives covered in a parity position where there's significant opportunity to grow market share, will serve as the foundation for total prescription growth in 2022. Second, we have successfully renegotiated our first exclusive Medicare Part D contract. We were able to materially roll back the discount rate while maintaining Xtampza ER's exclusive formulary position. This will have a positive impact on Xtampza ER beginning in the first quarter of 2022. Importantly, it was our first chance to validate our strategy of optimizing Xtampza ER contracts when the opportunity presented itself. We're highly encouraged by this outcome. As we move into 2022, our payer strategy for Xtampza ER has evolved, and it's two-pronged. First, selectively securing new exclusive and parity wins at desirable rates; second, optimizing existing exclusive contracts when they are up for renegotiation in 2022 and 2023. In 2022, approximately 50% of Xtampza ER TRxs are in plans in which contracts need to be renegotiated, and an additional 30% are up for renegotiation in 2023. In total, over the next two years, we will be renegotiating contracts in plans that currently generate 80% of Xtampza ER prescriptions. We'll leverage these opportunities to manage Xtampza ER gross to net to less than 65% beginning in 2023. To summarize, the actions that we are taking are focused on finishing 2021 with momentum and positioning the portfolio for success in 2022. In the face of challenging market dynamics year-to-date, we've expanded Xtampza ER's market position, and we've meaningfully grown Nucynta franchise revenue. Xtampza ER is well-positioned to grow total prescriptions and revenue through strong ongoing commercial execution. As our payer strategy evolves to include a focus on optimizing existing contracts, we will manage Xtampza ER gross to net to less than 65% beginning in 2023. The Nucynta franchise will continue to benefit from sustained gross to net improvement as a result of successful execution of our payer strategy, and is well-positioned to deliver on our expectations going forward. With that, I'll turn it back to Joe.
Joe Ciaffoni: Thanks, Scott. I will now open the call up for questions.
Operator:  Our first question comes from David Amsellem with Piper Sandler. Please proceed with your question.
David Amsellem: Hey, thanks. So just a couple of questions. So on Xtampza, so I just wanted to drill down on what you're trying to accomplish. I guess, my bias would be that once you have a certain rebate, it's hard to go back and get a lower rebate from the same payer. So, is it fair to assume that you're going to be doing something similar to what you did with Nucynta, which is just walk away from suboptimal contracts? Is ultimately getting to that 65% is going to be largely a function of walking away from those contracts, sacrificing some volumes, but ultimately getting the better overall blended economics. So is that one way to think about it? And then I have a few follow-ups.
Joe Ciaffoni: Okay. David, this is Joe. I'll start and maybe Scott could add some color. First off, I would think of Xtampza different than Nucynta based on where it's at in its life cycle. As you know, we have a long runway with Xtampza that goes out until 2033. The second thing to be mindful of is the clinical story of Xtampza and the differentiation of the abuse-deterrent technology along with the impressive and evolving body of real-world data. The third thing is as we're talking with plans, they understand what it is they're able to accomplish by adding Xtampza ER to their formularies. And I would be mindful that in these exclusive plans, we have exceptionally high market shares. The final comment I would make, and I really would not underestimate the importance of the first opportunity we had to renegotiate an exclusive contract, in that we were able to materially roll back the discount while maintaining Xtampza's formulary position. So as we outlined during our prepared remarks, we have a huge bolus of Xtampza prescriptions up for renegotiation over the next two years. And we believe and we're setting out to roll the discount rates back based on the clinical value that has been demonstrated in the value to the plan while maintaining Xtampza in a preferred formulary position.
David Amsellem: Okay. That's helpful. And one of my follow-ups is on that renegotiation that had a successful outcome. Can you talk to -- and I realize this might be more than you're willing to go into. But if you can talk to what were the drivers of being able to get that rebate down? And in particular, was there anything you make about that particular plan that drove this particular result?
Scott Dreyer: Yes. Thanks, David. It's Scott. So I think, I wouldn't frame it as unique. I'd reinforce some of the things Joe just said. The situation was a plan that was committed to the clinical differentiation of Xtampza saw the success that was driven clinically over the last few years, saw the reemerging real-world evidence that backs up the differentiated label when they signed the deal and now a share, that was very high for Xtampza, and now share where they were all in. And so us being able to work with them with what let us be able to drive the rebate down, while maintaining exclusivity. And I'd say that's a story that will be something we will continue with the other ones that are emerging to be renegotiated.
Joe Ciaffoni: And David, the only thing I would add, and this is probably a good reminder for everybody. When we started out on our strategy with Xtampza ER, one of the things that was important for us for any plan that made a decision to add Xtampza was their belief in the clinical value and in particular, the differentiated abuse-deterrent technology. As you know, the vast majority of these plans had press released the clinical basis of their decision. And certainly, the product has performed within those plans in a manner in which they would have expected in terms of the share we achieved and as I said, the evolving data that they're able to see supplemented by the real-world performance of Xtampza ER.
David Amsellem: Okay. That's helpful. And then last question is just on capital deployment and on biz dev. It's obvious that competition for assets can be intense. Joe, I wanted to get your thoughts on, if you don't find something that's optimal, would you lean more into share buybacks or even consider a dividend? In other words, in the absence of maybe talk through those other options?
Joe Ciaffoni: Yes. So it's a great question, David. The first thing I would emphasize is we are committed to creating value for our shareholders. We believe it's and, and not and/or proposition as it pertains to BD. In other ways, the way we're choosing to do it now is through the share repurchase program. And we believe we can do both of those. I would emphasize that the current valuations, we feel very strongly there is a disconnect in our stock price, and we will continue to be as we have been active in repurchasing our shares at this level -- at the current share prices, which is a way in which, obviously, we're returning value to our shareholders. From a BD perspective, what I would say is we are highly active. We know in two of the buckets what it is that we want and what it is we're willing to pay, and those two are the commercial stage high synergy and in the non-opioid pain solution development stage, and that is a limited set of options to be very candid. Commercial stage low synergy is a bigger group of options that we're actively pursuing. What I would say is we are confident that we will get the right deal done for Collegium in the near-term.
David Amsellem: All right. Thanks, Joe.
Joe Ciaffoni: You got it. Thank you.
Operator: Our next question is from David Steinberg with Jefferies. Please proceed with your question.
David Steinberg: Thanks, and good afternoon. I have a couple of Xtampza questions. So the story keeps changing a bit and slipping, I'm just trying to try to understand what's going on here. So the last three quarters have actually been a decline sequentially in Xtampza. And you said that by 2023, you hope to get your gross to nets down to 65%. So given what's happened recently and given what you said about 2023, are you implying that in 2022 that Xtampza best case will be flat or possibly shrink? And then second, I'm trying to understand what's happened with your guidance, because you gave the most recent set of estimates in the first week in August. So the quarter was almost halfway through. In the previous quarter, you reduced your Xtampza estimates pretty considerably. Given that you're already halfway to the quarter, what happened in the second half of the quarter? And why weren't you more conservative given what happened in the prior quarter too, because once again, you're cutting your Xtampza estimate. So it's a bit of a head scratcher to me. I'm trying to understand it. And if you could explain it, that would be great?
Joe Ciaffoni: Sure. So David, this is Joe, and I appreciate the questions. I'll start off with your first question and then hand guidance off to Colleen. Look, with regards to what we believe has been happening with Xtampza in 2022, it has been a consistent impact, we believe, of COVID-19, impacting first off the overall market, and then impacting Xtampza from the perspective of where it is that we're sourcing business from, which as we've said throughout the year is skewing to exclusive and with an exclusive Medicare Part D which is our lowest margin business. That's pressuring gross to net, which is adversely impacting Xtampza net revenue. As you know, with the Delta variant where we were anticipating there to be improvement in terms of the impact of COVID. As Scott outlined in the third quarter, in particular, the final two months, we saw pressure and a 10% sequential reduction in the NBRx market. Now to your question, when you think about Xtampza moving forward, and we'll be giving guidance as we always do in January, we believe, number one, that the brand will grow prescriptions on a going-forward basis through the new exclusive position we added our existing exclusive, and we have an unscratched opportunity. We haven't scratched the surface and our parity plans to this point in time, and we believe we'll have the opportunity to do that in 2022. In addition, and I would encourage you not to lose sight of what we communicated on the Part D plan that we were able to renegotiate, that will contribute on a revenue basis right out of the gate in 2022. So we anticipate strong revenue growth with Xtampza in 2022. And with opportunity that we outlined to further improve gross to net, and we will absolutely be under 65% in 2023 and beyond. And I'll hand the guidance question off to Colleen.
Colleen Tupper: Hi, David, this is Colleen. I appreciate the question in relation to the change in guidance. In early August, when we guided for the remainder of the year, we expected the COVID dynamics to slightly improve or at least stabilized. And what in fact happened in the third quarter is that it worsened and that resulted in the higher gross to net from Xtampza and that was just not what we were expecting.
David Steinberg: Got it. Okay. And just a follow-up, so just reading between the lines, Joe, you're saying the prescriptions are going to grow next year. You have this Part D plan hitting the first quarter revenue situation pretty hard. So are you basically saying that you expect revenues to grow next year? Or are you not sure? And then secondly, on BD, in response to David's question, I think you said something about near-term. So should we -- I know you've been looking at assets for a long time, and obviously, you don't want to overpay and you want to buy the right company or right asset at the right price. But when you say near-term, should we be thinking that something is going to happen in the next six months or so?
Joe Ciaffoni: Yes. So David, what I would say, and we'll give guidance for 2022 in January, my expectation is that we are growing both prescriptions and revenue in 2022. From a BD perspective, I would say we're active. We are looking to do the right deal. We know and are pursuing things that we think are desirable. I would love to be able to announce a deal tomorrow. I think it is a reasonable expectation that by the end of 2022, I would expect us to have a deal completed.
David Steinberg: Okay, that's fair. Thanks for the clarification.
Joe Ciaffoni: You got it. Thank you.
Operator: Our next question is from Serge Belanger with Needham & Company. Please proceed with your question.
Serge Belanger: Hi, good afternoon. A couple of questions for me on Xtampza. First, on the business environment, I think Scott mentioned that the environment kind of deteriorated over the third quarter relative to the second quarter. Curious to see what you have seen since then? And then looking toward 2022, do you expect that environment to improve? Or it will remain kind of depressed by 30% for the most of 2022.
Scott Dreyer: Yes. Thanks, Serge. So first, what I'd say in terms of the third quarter, that's what got us, right? It was the additional 10% decrease in the new-to-brand market. And right now, that's where it is through the latest weekly that we're seeing. As we move into the beginning of next year, we'll be watching just for a rebound of that new-to-brand market essentially.
Joe Ciaffoni: Hey, Serge, this is Joe. Here's the way I would frame it. It's interesting this year. If you look at the total opioid market, and when I say that I'm combining IR and ER, it's down about 2%, which is actually better than what we would have forecasted the market to be. The IR market is down only 1.4%. Now the reason that that's important to understand is what fuels and you know this, the ER market in the dynamic portion of it, 85% of it is driven by patients on an IR converting to an ER. And for that to happen, we believe those in-person patient visits need to occur. So that's the continuity of care. The opioid market overall is actually performing better than we had predicted in our models. The patients are just staying on the therapies that they're on. So we would expect to see improvement, obviously, as COVID conditions improve, but we also expect out of the gate in 2022 to both be growing prescriptions and revenue.
Serge Belanger: Okay. And I guess one more for Scott. Can you just again run through some of the new formulary additions that you're expecting for 2022? And Are these the only ones we're expecting now? Or do you expect more to be added throughout the year?
Scott Dreyer: Yes. Thanks, Serge. So we added three million lives, which then takes us to 100 million exclusive lives. And then I want to reinforce what Joe had mentioned, the 40 million parity lives we have, where we haven't scratched the surface. We're low in market share and we have a tremendous opportunity to grow. That's the focus on the platform for growth. And by all means, we're always fill in discussions, and we're sitting here in the first week of November, but there could be other wins that we get as we end the year. And so we'll keep executing around those opportunities. But for now, it's three million new for a total of 100 million exclusive.
Serge Belanger: Got it. Thank you.
Operator: Our next question comes from Oren Livnat with H.C. Wainwright. Please proceed with your question.
Oren Livnat: Okay. I have a couple of questions. Thanks. I think I'll ask kind of a cynical one about the negotiations to sort of follow on to Dave, both Dave. The  what's really...
Joe Ciaffoni: Oren, I'm sorry, you're breaking up. We can't hear you.
Oren Livnat: Oh, I’m sorry. Can you hear me right now?
Joe Ciaffoni: Yes.
Oren Livnat: Okay. Just moving the phone. When it comes to kind of renegotiate, what's really the main driver of leverage in that conversation? You've spoken about this one payer, recognizing the clinical value and the real data. And clearly, they were early adopters and onboard from the start. But with some of the bigger players, is it really a function of your market share that you have in those exclusive plans that gives you the leverage in that conversation such that if you are willing to walk away or you do walk away, are they going to be stuck with some material amount of sticky business that they've been paying full price?  So it's really just a dollar-and-cents question for them? Or if -- can they push back? And if the answer is no, are you then theoretically actually block from all of that volume versus business being sticky? And then I have another question.
Joe Ciaffoni: Yes. So Oren, this is Joe. I'll take that one, maybe. So look, I think we approach any negotiation with humility. And I think it's the totality of the clinical, the market share that we have. And remember, these plans where we're exclusive on the basis of the clinical believe transitioned, the vast majority of their patients off of OxyContin in the relatively recent past over to Xtampza. So we think that's just an important thing to be mindful of. And like I said, it's not this one plan. I would emphasize, it is the first time that we have had the opportunity to renegotiate with an exclusive plan, and we're able to achieve the outcome that we thought we would be able to.
Oren Livnat: Okay. And I guess just more specifically in general, within whether it's Medicare or elsewhere, did you walk away because you can't come to an agreement? Does that -- I guess, is there some meaningful portion of uncontrolled lives less nowadays in the industry such that there is a sticky amount of business at high value? Or is walking away really walking away from those lives?
Joe Ciaffoni: Yes. So our intent Oren, is not to walk away. We want patients and physicians to have access to our portfolio. What I would say to you is in a situation where it is that you -- if you were to walk away which is not our intent. No product and no plan goes down to zero. So if you look, for example, what you see happening with Nucynta, where we were in a position where we walked from a couple of payers, you could see that the gross to net improvement far offset any pressure to prescription.
Oren Livnat: Right. Good example. And then just separately, obviously, you've been highlighting for a while market willing that the parity position is sort of a blue sky opportunity for you. And obviously, COVID has made pulling through those plans very difficult to-date. But it's not that there's no patient visits in the last year and half of COVID. So I'm just curious, what have you learned so far since you've gotten these positions about how they can perform? Are there any examples where you said, look, when we did X, Y and Z in certain territories with parity position, we grew share ex amount and if NBRx visits or volume and visits was higher, here's the potential?
Joe Ciaffoni: Yes. So Oren, I'll start and maybe Scott could add on this. The honest answer to that question is we actually do not know what can be accomplished in a parity position which is one of the biggest disappointments of the past year and half or so, because it impacts how it is we think about contracting on a going-forward basis. So as you heard in Scott's comments, we're choosing to be very selective right now in terms of new additions, because we don't have the answer to the question of what we can accomplish in that parity position. What we know is if the patient isn't going in to see the physician minus the push of the payer, we're not seeing market share anywhere near the level that we had anticipated. And you are correct. It's not that we're not growing in parity because we are. We're also growing where we're non-contracted. We are just not growing anywhere near the rate we would have anticipated, which is driving the dynamic of the gross to net pressure because we're getting a far higher proportion of our business from exclusive than we anticipated. Now I'll close this out by saying we love the market position. All right. We've grown -- added more market share to Xtampza this year than in any year other than the first year of launch, and that gives us a position to leverage as we go forward.
Oren Livnat: Okay. I appreciate it. Thanks.
Joe Ciaffoni: You got it. Thank you.
Operator: Our next question comes from Tim Lugo with William Blair. Please proceed with your question.
Unidentified Analyst: Hi. This is John on for Tim. Thanks so much for taking our questions. Just wanted to say congrats on continuing to managing your operating expenses due to pandemic. I'm just wondering with all the newly realized savings, how much of that may be permanent from structural changes, and how you're thinking about your goals where you think?
Joe Ciaffoni: Hey, John, this is Joe. You faded out. Can you repeat your question? And I know it was on OpEx, so Colleen will take it. But you faded out right away.
Unidentified Analyst: Sorry about that. All right. Can you hear me now?
Joe Ciaffoni: Yes.
Unidentified Analyst: Okay. Sorry. Just wondering where you think that your operating expenses may eventually even out? And how much of it might be permanent from structural changes on the pandemic?
Colleen Tupper: Thanks for the question, John. This is Colleen. Good to hear from you. So I think we're at a position where we are very rightsized. We will continue to leverage our operating structure and not grow it. So you will see reasonably similar operating expense levels going forward.
Unidentified Analyst: Okay. Great. Thank you so much.
Colleen Tupper: You’re welcome.
Operator: Our next question is from Greg Fraser with Truist Securities. Please proceed with your question.
Greg Fraser: Hey guys, thanks for taking the questions. I'm sorry if I missed this, but did you say what the gross-to-net for Xtampza was in the quarter?
Colleen Tupper: Hi, Greg, this is Colleen. Yes, I did, it was 73%.
Greg Fraser: Got it. And then I just want to follow up on the plan to renegotiate contracts. I know you're limited by when the contracts come up for renewal. You had the recent successful renegotiation. Do you need to have similar success with the contracts that come up for renewal next year to get to your gross-to-net target for 2023? Or, do you just need success with a portion of the plans? Any color on that would be helpful. Thanks.
Scott Dreyer: Yes. Thanks, Greg. So what I'd anchor to is, we need to have some success, and we have unbelievable opportunity. So the deal is despite what we already accomplished, which starts in '22, still 80% of prescriptions are up for renewal, 50% in '22 and 30% in '23. So of course, we need some success to bring that gross to net down, but we have a tremendous amount of opportunity, and that's why we are committed to be below 65% beginning in 2023.
Joe Ciaffoni: Hey, Greg, this is Joe. I would give you a perspective. We're trying to achieve a balance of maintaining our formulary position while improving the discount rate. If we were to lose, if you define losing as we didn't get the discount rate that we wanted, that would materially help in getting gross to net under 65%. And certainly, in the immediate couple of years have a significant impact on revenue. So that's not the outcome that we're shooting for. The reason I give you that texture is because at the end of the day, we're committed, one, to giving patients and physicians every opportunity to access our products to working with the payers in a reasonable way based on the clinical profile of Xtampza, the impact it's having in the real-world and trying to achieve that balance. But the long story short there is, it is a controllable from a Collegium perspective, and we will be less than 65% in 2023.
Greg Fraser: Got it. Thank you.
Joe Ciaffoni: You got it.
Operator: There are no further questions. At this time, I'd like to turn the call back over to Joe Ciaffoni, for closing comments.
Joe Ciaffoni: Great. I want to recognize my colleagues for their hard work and them for their dedication to people living with pain and the communities we serve. Collegium is financially strong, and our pain portfolio is positioned for success in 2022. I'm confident in our ability to create value for our shareholders and reiterate our commitment to effectively deploy our balance sheet near-term and strategically invest in our long-term growth. I look forward to updating you on our progress. Have a great evening.
Operator: This concludes today’s conference. You may disconnect your lines at this time. And we thank you for your participation.